Operator: Good morning, and welcome to the Q4 2021 Nielsen Holdings plc Earnings Conference Call runs. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Sara Gubins, Senior Vice President, Head of Investor Relation and Treasury, please go ahead.
Sara Gubins: Good morning, everyone. Thank you for joining us to discuss Nielsen's Fourth Quarter and Full Year 2021 Financial Performance. I’m joined by our CEO, David Kenny; and our CFO, Linda Zukauckas. Our COO, Karthik Rao, will also be on for the Q&A portion of the call. A slide presentation that we’ll use on this call is available under the Events section of our Investor Relations website. Before we begin, I'd like to remind all of you that our remarks and responses to your questions today may contain forward-looking statements, including those related to our business plans and 2022 guidance. Forward-looking statements inherently involve risks and uncertainties and only reflect our view as of today, February 28th, and we are under no obligation to update. Our actual results in future periods may differ materially from those currently expected because of a number of risks and uncertainties, including those identified in our disclosure filings and materials such as our 10-K, 10-Q and 8-K reports, and in subsequent reports filed with the SEC, which are available on our website. We assume no obligation to update any forward-looking statements, except as required by law. On today's call, we will also refer to certain non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most comparable GAAP measures are available in the earnings press release, which is available at the Investor Relations section of our website at nielsen.com. And now to start the call, I'd like to turn it over to our CEO, David Kenny.
David Kenny: Good morning, and thank you for joining the call today. I'd like to start by saying that we are deeply concerned about the evolving situation in the Ukraine. We are focused on the safety of our 107 employees and their families there. We've mobilized the team to help them navigate through this challenging time. Turning now to 2021 results, I am extremely proud of everyone in the Nielsen organization. Our teams executed and delivered strong results in 2021 despite facing some unanticipated challenges. We successfully sold Nielsen Global Connect. We hit significant product milestones. We exceeded all of our original key 2021 guidance metrics; revenue, adjusted EBITDA margins and free cash flow. The clearest measure of our success is our ability to deliver mid-single-digit organic revenue growth over time. In 2021, we delivered organic revenue growth of 4.9%. And we continue to expect mid single digit organic revenue growth in 2022 and beyond. The drivers of our revenue growth give us confidence that we are delivering the diversification and innovation needed to accelerate growth over the next few years. Growth in the digital products is far outpacing the average in measurement, and Gracenote is growing in the high single digits, both reflecting our opportunities as consumers shift to streaming. The six largest US media companies, some of our most vocal critics, in aggregate, grew faster in 2021 than in the prior few years as they added Nielsen's digital solutions. And growth outside the United States accelerated to 7% and will remain strong, driven by adoption of Nielsen's digital solutions. This morning, we announced that our Board approved a $1 billion share repurchase authorization. This reflects the Board's confidence in both our short and long-term growth and the view that our shares represent an attractive investment opportunity. Our significantly improved balance sheet provides us with the flexibility to return more capital to shareholders, while continuing to invest in organic growth initiatives and pursue strategic tuck-in M& A if and when it makes sense. We recognize there's been a lot of noise recently, largely focused on our measurement of the declining US linear TV audience. I want to separate the noise from reality. I'll frame my remarks around five key points. I'll then touch on impacting content before Linda reviews the financial results and 2022 guidance. First, Nielsen ONE, our cross-media measurement solution uniquely aligned with the needs of advertisers and their agencies. And they will ultimately choose the currency for ad spending. Second, media companies need to be digital or streaming-first to keep pace with audience behavior. Our relevance with leading digital-first players is growing, and we are adding increased value to traditional TV clients as they shift to streaming. Third, we are uniquely committed to measuring people, not just machines. Fourth, we are making the right investments in data, methods and quality. And fifth, we're executing on Nielsen ONE. We hit all of our 2021 milestones. We're on track to deliver the full solution later this year and begin driving industry adoption. I'll now expand on each of these points. First, advertisers and their agencies will ultimately choose the currency for cross-media ad spending. And they want a solution that is trusted, independent, and complete. Advertisers want to reach the people who buy their products at a frequency that builds brand image, and this means more streaming for most advertisers. Therefore, they want a solution that brings streaming and linear together. The World Federation of Advertisers laid out a set of requirements, which were further adapted by the Association of National Advertisers in the United States. The approach is clear about big data, direct integration, interoperability, with targeting and attribution solutions, and empirical validation with panel data. Nielsen ONE uniquely aligns with all of those requirements. It's also worth noting that the ANA is explicitly not trying to create a new currency. Importantly, advertisers and their agencies want to transact on one foundational currency that reflects in one number as close to 100% of the media and 100% of the people watching it. This is Nielsen ONE, which will leverage all of the many points where we are embedded in media planning and buying systems. Second, the media industry has shifted to digital-first, and Nielsen's business is aligned with this. Our relevance is growing with both digital-first clients as well as traditional TV clients who are shifting towards streaming. I would remind you that every major change to expand media measurement has been met with resistance and headlines. This dates back to adding cable to broadcast in the 1990s and the addition of delayed viewing on a DVR in 2006. The latest move, the current move to reconcile streaming and linear is perhaps the biggest change in the history of media. Friction can be expected, and we are seeing it. Our Gauge data shows that streaming reached an all-time high in January, now accounting for 38% of viewing within the 18 to 54 age demographic. Leading streaming-first platforms recognize the value of having a common metric for audiences as linear TV and digital converge. And no other third-party measurement is as valued as Nielsen across the digital ecosystem. Google recently cited measurement as a key to their success in connected TV. This year, Google is hosting YouTube Brandcast, their advertising showcase, during the week of the upfront, which historically has been a TV-centric week. Google is using Nielsen data to demonstrate the strength and relevance of their platform. Also ahead of this year's upfront, Roku announced that they're adding Nielsen's Digital Ad Ratings as an audience guarantee, making Roku the first ad buying platform to launch Nielsen guarantees across streaming television. Most of our top digital-first clients now also buy our TV data. A recent example of that is our renewed TV license agreement with the Trade Desk. Yes, there is more noise on the traditional TV side as our clients adjust their business models from linear to streaming. But privately, the conversations we have with clients and their contracts with us show that our business with them is much more productive than the noise suggests. We grew revenue with national media clients in the double-digits in the fourth quarter and high single-digits for the full year. 2021 revenue growth was driven by strong pricing, strong uptake of our digital solutions and cross-selling of our three essential solutions. And in fact, our growth accelerated from what we saw pre-pandemic in 2019. We expect continued solid growth with these clients going forward. It's worth noting that Nielsen renewed 100% of our top 10 contracts over the last three years, 100%. Internationally, accelerated growth is driven in part by the adoption of our digital offerings. We are expanding digital and cross media in key markets around the world, including Mexico, Australia, Poland, Thailand, Denmark and Hong Kong. Third, we are uniquely committed to measuring people in a way that is scaled and representative. We measure people, not just devices, because people and not machines are who watches video. Nielsen is the only company with a high-quality probability sample for measuring video, and the only company that can back up our measurement with large-scale empirical evidence. Our big data sets are validated by the behaviors of over 100,000 people in our panel, which uniquely allows us to provide persons-level measurement that is representative of all audiences that is validated and audited. Unvalidated machine data often produces inflated audience estimates. While machines expand, the population is not growing, and neither is time, it's still 24 hours a day. So we uniquely measure the share of total time across total people. Machines cannot tell you who is watching. There are serious deficiencies in models that are not tested with empirical evidence. Some in the industry aggregate machines into households and then use household averages to guesstimate viewer demographic. Editors use credit data models, which are biased towards affluent consumer. Some used panels as small as 100 households, which is clearly statistically insufficient for validation. Fourth, we are making the right investments in data, methods and quality to remain the best measure of how all people consume all media. And we do this at a scale and specificity greater than anyone else. We're integrating set-top box and ACR data from roughly 30 million households into our national TV measurement. Setup box data provides valuable insight into consumption via cable and satellite subscription. That said, nearly half of all households no longer have a set-top box. We expect cord cutting to continue. So we're focused on connected TV data, which we believe will be more resilient over time. During 2021, we doubled the number of connected TV partners, which enable us to measure 75% of CTV media spend. Our coverage includes Hulu, Amazon, Roku, YouTube, VIZIO Watch Free and Samsung TV Plus. When we include PCs and mobile devices, we cover 87% of total video digital spend. We cover 19 of the top streaming platforms, which together represent approximately 90% of streaming usage. We also have more data scientists than the next five players combined in the audience measurement space. This is 500 experts leading continued innovation. In fact, Nielsen is the clear innovation leader in media measurement. In 2021, we were issued over 230 US patents, keeping pace with prior years. We also released significant contributions to over a dozen major open source projects in the cloud computing and analytics spaces. And finally, we are executing as planned, as committed on Nielsen ONE. We are uniquely positioned to lead the industry into the next-generation of audience measurement. Let me review our road map that we shared at Investor Day in 2020 and highlight what we accomplished in 2021. Walking across the top, we completed the transformation of our digital methodology. We rolled out our ID Resolution System, including our cookieless approach. Towards that end, we entered into a global strategic partnership with the Trade Desk, which scales our identity system globally. And we became a preferred measurement partner of the Trade Desk. This morning, we also announced an agreement to integrate Experian marketing data assets into our identity system in the United States. We're integrating always on measurement into Roku's ad buying platform, as I mentioned before, and we're focused on always on measurement with other digital platforms. We enhanced our metering technology and expanded our partnership with Extreme Reach to enable sub-minute reporting for greater comparability across linear and digital. And we announced our plan for individual commercial metrics in November. Going across the bottom, we have streaming meters installed in nearly half of our panel homes. We're adding them into new panel homes as we recruit them. We doubled our CTV partners. And we increased the coverage of MVPDs and digital distributors. We completed our rebuild of direct first-party integration with the 2 leading digital ad giants. And just last week, we released Impact data for the inclusion of Big Data into national TV measurement. In alignment with client feedback, we'll launch Big Data as a stand-alone service in September in parallel with the existing currency. Clients who are ready to transact on new more robust metrics will be able to do so this fall. We're adding addressable measurement, which is still fairly small. We're working with addressable providers to help them scale and drive adoption. In January, we moved to impression-based buying in local in conjunction with the inclusion of broadband-only homes into measurement. This is an important step in moving local to the same Nielsen ONE measurement as digital and national. All together, we accelerated our roadmap and launched Nielsen ONE Alpha, the first iteration of Nielsen ONE Ads in January ahead of schedule. Alpha is specific to ad campaigns and gives clients an initial look at the user interface as well as audience deduplication across all screens, adding in CTV for the first time in addition to linear TV, computer and mobile. Alpha engages the trailblazing advertisers, agencies and media sellers who are shaping the cross-media marketplace. Alpha includes companies like Kimberly-Clark, Disney and Magna. In fact, every major agency holding company is now engaged with Alpha. We have received positive feedback on Alpha. Clients like the utility and the interface of Nielsen ONE. They've also given a suggestion, given the growing role of first-party data in our agency partners cross-media strategies, we are prioritizing the measurement of audiences beyond age and gender, including first-party audiences in 2022. Our early discussions with advertisers also highlighted the importance of tying reach and frequency to outcomes on attribution. Accordingly, we are accelerating opportunities to integrate data from our suite of impact marketing solutions into Nielsen ONE later this year. The foundation for Nielsen ONE is squarely in place. By the end of this year, we'll share impact data for Nielsen ONE, which will provide the industry with a two-year parallel period before we fully transition to cross-media metrics by the fall 2024 season. I'd like to point out that Nielsen ONE is more than a new currency for ad buy. After Nielsen ONE Ads, we will launch Nielsen ONE Content that will provide studios, distributors and streaming platforms unprecedented insight into cross-screen consumption. And we'll launch Nielsen ONE Planning, which will empower agency and in-house media buyers to effectively forecast and plan cross-media native campaigns. Behind this, Nielsen has always stood for gold standard quality. We've taken significant steps to improve quality controls, to meet the MRC accreditation standards and drive sustained quality improvement. We identified with the MRC success criteria required for re-accreditation. And we expect to complete all necessary action items by mid-year after which we expect the MRC members to vote on accreditation. We have reached our goal of 41,000 homes in the panel in 2021, and we'll reach our target of 41,600 by the end of this quarter. Only Nielsen has a scaled, representative, empirical person-level panel. And beyond panel quality, we are also focused on the highest standards for data quality controls, tech resilience and client communications. Let me turn to Outcomes, which we rebranded as Impact Marketing Solutions. Our portfolio spans preflight, advertising intelligence and cross-platform media planning; in-flight, audience activation; and post-flight, advertising effectiveness measurement. Let me cite a few examples of how we are expanding to include all media, all major markets and all major advertisers. We launched campaign measurement in 40 new markets. We strengthened our capabilities in automotive through a new partnership with Polk. We've broadened our advertising intelligence offering to include paid social media ad spend. We expanded our upper funnel brand impact solutions with digital publishers like Spotify, TikTok, Twitter and others. We expanded coverage in our planning and optimization solution to include streaming data from connected TV. And as a point of external validation, Forrester's Q1 recent Marketing Measurement and Optimization Solutions Wave report said that Nielsen 'provides advanced marketing performance insights with audience activation in a one-stop shop for advertisers.' This report is widely used by advertisers when they evaluate vendors and is further validation that we are creating value for them. Let me turn to Gracenote, our Content Solutions pillar. The Gracenote ID is the UPC code for video, sports and music content. Gracenote is the market leader in entertainment metadata worldwide. The Gracenote content identifiers, or Gracenote IDs, are widely deployed throughout the media ecosystem, enabling cross-platform linkage and universal search across video content. Content spend continues to grow rapidly. And we have new opportunities to help distributors better manage their catalogs to connect with and grow their audiences. We are leveraging audience measurement data and Gracenote metadata together with the continued build-out of our analytics offering. This includes the recent launch of Audience Predict, which enables data driven decision making around content acquisition and distribution. In 2022, we're focused on further growing Gracenote's geographic footprint. We're focused on expanding the usage of the Gracenote ID and launching new products to help distributors analyze, benchmark and derive insights from their catalogs. To sum up, Nielsen delivered strong results in 2021. Nielsen has an unmatched position delivering value to clients across our three essential solutions. We are digital first and global first. That strategy aligns with the evolving media landscape. We are on track to deliver Nielsen ONE later this year. And we do remain positioned best positioned to lead the industry forward with cross-media measurement. With that, I'll turn the call over to Linda to review the financials.
Linda Zukauckas: Thank you, David, and good morning everyone. I'm pleased to share the fourth quarter and full year results today, which reflects strong performance. Before I review the results, let me spend a moment on some of our key accomplishments in 2021. First, we completed the sale of our Connect business in March and reclassified it to discontinued operations effective as of Q1 2021. As a reminder, my remarks today focus on our results as if the Connect sale took place at the beginning of 2020, which helps with the year-over-year comparison. Second, we paid down $2.7 billion in debt or almost one-third of our debt and pushed out maturities by refinancing $1.25 billion of debt. We ended the year at 3.52 times net debt leverage, our second consecutive quarter near the high end of our medium-term target. It's been eight years since our leverage has been this low. Our delevering was facilitated by Connect sale proceeds and operating cash flows. And third, we met/or exceeded our 2021 guidance across all key metrics. Turning to the financial results. I'll start with slide 8, which summarizes our revenue performance. Revenue was $894 million in the fourth quarter and $3.5 billion for the year. On an organic constant currency basis, revenue grew 4.7% in Q4 and 4.9% for the year, exceeding our guidance. Organic revenue adjusts for exits related to the 2020 optimization plan, the April sale to Roku of our Advanced Video Advertising business and the July acquisition of TVTY. As we guided, these had a 150 basis point impact on constant currency revenue growth. For the year, organic revenue grew 4.4% in the US and 7% in international markets. Measurement revenue of $647 million in Q4 was up 5.2% organic. For the year, measurement revenue of $2.545 billion was up 4% organic. For both Q4 and the full year, national and digital measurement products were areas of strength. And from a client perspective, in 2021, we grew in the high single-digits with national media clients and had double-digit growth from digital-first clients. Local posted its third quarter of modest positive growth, but coupled with a weak Q1 was roughly flat for the year. Impact and content Q4 revenue of $247 million grew 3.4% organic. Full year revenue of $955 million grew 7.5% organic. For 2021, impact organic revenue grew 7.3% and content grew 7.8%, in line with our expectations of mid- to high single-digit organic growth for impact and content over the medium term. We saw improving trends in short-cycle revenue and strong growth in our sports business. In the fourth quarter, impact revenue grew in the high single-digit organic, while content revenue declined. For certain Gracenote clients, contract size and structures can vary, resulting in revenue recognized over time in some situations and at a point in time in others, creating some unevenness in any given quarter. This played out in the fourth quarter. It's not something that we've called out before, but it was more pronounced in the fourth quarter. So, we wanted to provide a bit more context. We continue to expect strong growth from content in 2022 and beyond. The right side of the page shows revenue for the past five quarters as well as constant currency and organic revenue growth rate. As noted on the Q3 earnings call, Q4 faced a tougher comparison as COVID pressure began to subside in Q4 2020. Turning to slide nine, which shows our performance in relation to our guidance and quarterly performance for adjusted EBITDA and margins. Adjusted EBITDA was $1.491 billion for the year, up 5.4% constant currency, just above the high end of the guidance range. Fourth quarter adjusted EBITDA was $351 million, down 7.4% constant currency. Full year margins were 42.6%, up 79 basis points on a constant currency basis and at the high end of the guidance range. This includes fourth quarter margins of 39.3%, down 435 basis points in constant currency, in line with our expectations. We discussed this throughout the year, but I'll remind you of the factors that contributed to year-over-year margin expansion in the first half of the year and compression in the second half of the year. First, because our cost base is relatively fixed, revenue growth drives operating leverage. Second, the $100 million in temporary COVID-related cost cut in 2020 began to return in the second quarter. But they've not yet reached the levels we expect over time and to continue to trend up in 2022, largely due to hiring, merit increases, and travel and entertainment. Third, we began to implement our restructuring or optimization plan in Q3 2020. As a result, we saw a significant year-over-year benefit in first half margins, then started to lap the benefit in the second half. And finally, we invested in our key growth initiatives during the year. Fourth quarter adjusted EPS was $0.46 compared to $0.32 in Q4 2020, reflecting a lower tax rate, offset in part by lower EBITDA and higher depreciation and amortization. 2021 adjusted EPS was $1.81 compared to $1.45 in 2020, above the guidance range. This reflects higher adjusted EBITDA and lower depreciation and amortization, interest expense and tax expense versus 2020 on a comparable basis. The 2021 effective tax rate was nominal, mostly due to discrete items. We had a Q4 benefit of $143 million, related primarily to the utilization of foreign tax credits, benefits associated with closing audits and open tax years and a reduction in deferred tax liabilities. So it's really these discrete items that drove the Q4 benefit, which completely offset taxes on Q4 adjusted net income at a full year rate of 23.5%, which did benefit from lower state taxes. Turning to free cash flow. We generated $647 million in 2021, up from $586 million in 2020 and at the high end of our guidance range. These results exclude $185 million of 2021 separation-related cash payments. Key drivers of 2021 free cash flow growth includes higher EBITDA and lower interest expense, partially offset by higher cash taxes. 2021 was a very strong year, as evidenced by these results. We continue to operate with greater discipline and to build on our track record of execution. Now let's turn to the outlook and 2022 guidance on Slide 11. Our guidance represents an important building block as we progress towards our medium-term framework. We expect organic revenue growth of 4% to 5%, in line with our medium-term outlook of mid single-digit growth. This incorporates our expectation of low to mid single-digit organic revenue growth in measurement and mid to high single-digit growth in Impact and Content. As a reminder, measurement includes our local and audio products, which we expect to be up only slightly in 2022. We expect constant currency revenue to grow 3.5% to 4.5% as the 2021 business exits and acquisitions have a 50 basis point impact. From a timing perspective, we expect revenue growth to be faster in the second half, with Q1 revenue growth below the full year guidance range. This is largely due to the benefits from growth initiatives building throughout the year. The quarterly uneven as I described for Content will also play out in Q1 of this year with a challenging comparison. For the year, we expect high single-digit growth in Content. We expect adjusted EBITDA margins to be flat to up 30 basis points for a range of 42.6% to 42.9%. And for margins, from a timing perspective, we expect compression in the first half of the year and expansion in the second half, with first quarter margin contraction of a similar magnitude to the Q4 2021 contraction. There are a couple of dynamics in play here. First is the continued return of costs that had been temporarily reduced due to COVID. This is most pronounced in the first half. And second is near-term investments in growth initiatives and in the panel, which had a more meaningful year-over-year impact in the first half of the year. And third, faster revenue growth in the second half will support margin expansion. We continue to expect to reach our medium-term margin target of 43.5% in 2023, with margin expansion accelerating on revenue growth and moderating investments. Adjusted EPS is expected to be in the range of $1.81 to $1.91, compared to $1.81 in 2021. This reflects adjusted EBITDA growth and related underlying guidance assumptions, which are in the appendix, and includes an effective tax rate of 23% to 25%, compared to 23.5% in 2021 before discrete items. Net interest expense of $270 million to $280 million versus $272 million in 2021; and net debt leverage in our three to 3.5 times target range, where we have been for the past couple of quarters. We expect free cash flow to be in the range of $650 million to $700 million, compared to $647 million in 2021. This reflects higher EBITDA, offset in part by increased CapEx due to investments in Nielsen ONE and the panel, and higher cash taxes due to higher taxable income and fewer available tax credits. As we look beyond 2022, and think about our medium-term free cash flow target, there are a few variables that are putting some pressure on our target of over $800 million in free cash flow and 50% conversion for 2023. On the one hand, we expect faster EBITDA growth to drive higher 2023 free cash flow. On the other hand, there is cash taxes, which I mentioned is impacting our 2022 free cash flow forecast. It's been almost a year since we closed on the Connect sale, and we now have a better feel for our tax profile and taxable income mix. We also have fewer available tax credits than in the past. And certain tax reform provisions will start to take effect in 2022 and also in 2023.All of this has us paying higher cash taxes. Next is CapEx. We are focused on driving efficiency in our CapEx and OpEx. And we expect CapEx as a percent of revenue to come down over time. In the near-term, however, we see opportunities to accelerate CapEx to advance our roadmap and to improve and modernize our panel. These won't represent a permanent step-up in CapEx but are likely to push out, reaching the 7.5% target for CapEx as a percent of revenue by roughly a year. And finally, share buybacks could impact interest expense, but would also result in higher free cash flow per share with the lower share count. As David mentioned, our Board has approved a share repurchase authorization. We see significant value in our shares. The impact of share repurchases will vary based on timing and pace. And the guidance we're providing today does not factor in any impact from the repurchases. In closing, I'm very proud of Nielsen's employees and our results in 2021. We remain confident in our path forward and our ability to drive growth and increase shareholder value. And now back to Sara for Q&A.
Sara Gubins: Thanks, Linda. With that, let's turn to Q& A. Operator, can you open up the line, please?
Operator: Thank you. [Operator Instructions] Your first question comes from Andrew Steinerman from JPMorgan. Please go ahead.
Andrew Steinerman: Hi, I just wanted to know, when you look at slide number five, if you feel that the road map is really within your own control. Or do you feel like this is what you're laying out, and really the gating factor will be the timing when buyers and sellers agree? And then also, when you look at the Alpha product that you showed them already, does this include both the smart TV data and the set-top box data or just a subset of those two big data partners?
David Kenny: Thank you, Andrew. I appreciate the question. First of all, the roadmap we laid out is absolutely within our control. Those are the modules we're delivering. We're delivering them those on time, and people are using them. I would say there is a factor of adoption, which is why last year was laying a foundation. This year is much more about engagement as folks transition. Of course, folks continue to use Nielsen currency today, but we are making more modules available so that the smart buyers and sellers can move forward more quickly. So, I would say what we have to watch is the -- on the other end, when can we actually shut down the legacy systems and only have one. And we will work with the industry on that. I don't think we're going to have the industry in a position that can operate. I would say most of the buyers are quite eager to move on. They take all the clear. They want to see this done. Some of them are speaking directly to the MRC to make sure it gets accredited. Some of the sellers aren't ready. And so we'll work with them. But quite honestly, I think the buyers are going to demand it sooner versus later. Secondly, in Alpha, of course, we're showing big data, which includes smart TV data and set-top box data. And we are going to move forward to actually having that in the market by this fall for everybody outside of Alpha because there's been such a demand for the robustness that comes with including that in measurement.
Andrew Steinerman: Okay. Thank you.
Operator: Your next question comes from Dan Salmon from BMO Capital Markets. Please go ahead.
Dan Salmon: Okay, great. Good morning everyone. David, I had two questions to follow-up on a couple of your prepared remarks. The first was, once again, you said pretty clearly that you think that both brands and agencies at the buy side have a strong preference for a single currency. And yet we do see test of alternative currencies gaining some traction on the buy side. We can see comments from that group that industry conferences estimating percentages of the upfront that might be transacted on alternative currencies. So, can you help us close that gap on what you're seeing versus some of the green shoots of activity that suggests that alternative currencies are being tested by the buy side? And then the second one was your comments on the feedback that you're getting from that group about wanting to better measure and better integrate first-party data. I would love to hear just a little bit more about that and whether that's a potential area where M&A could help accelerate based on that feedback?
David Kenny: Good. Thank you, Dan, for both questions. I'm going to take the first and I'm going to let Karthik handle the second, because he's got a lot of very recent data and also can update you what we're doing with first-party data. So first of all, there have always been secondary guarantees. I think it's been useful for brands and agencies to look beyond basic region frequency for things beyond that. Once they price on a core currency, that hasn't changed, and I think experimentation is useful. We learn from it. So I think you just have to listen very carefully to what folks are saying. But of course, people are going to experiment. That said, when I really talk to investment managers and the heads of agencies and most of the big advertisers, here's what they start with. They start with, there's a lot of enthusiasm about Connected TV. There's a lot of enthusiasm about technology. Boy, these guys have spent a lot of money on new content for their screen platform. Here's what hasn't changed. There are still 320 million Americans that's only growing 4.4% a year. That's getting older. It's getting more diverse. Secondly, here's what hasn't changed. There's only 24 hours a day. People need to sleep. People need to work. It seems that media consumption is kind of tapped out around 10 hours or -- plus or minus per day. Therefore, our fiduciary responsibility to our clients is to make sure we invest to maximize that. If we have metrics that can't reconcile that to a fixed population and a fixed time, there's a risk of double accounting. There's a risk of not getting full value. And quite honestly, there is a frustration with paying more for less in some of the traditional linear business, which the agencies have been clear about. So they're looking for that leverage. And so that's why I believe they're still going to want that single base case of what's going on in the market. That doesn't mean that they won't add secondary guarantees that they won't look for things that add value beyond it. But to fly blind without one validated audited data science rigorous approach, I think is dangerous when you get to big scale billions of dollars investment. So that's why I think the idea of multiple currencies while people might like competition and I think we've always got to learn, I'm not seeing that folks really think they can fulfill their fiduciary responsibility with pick your own measurement. So that's why I had that conclusion, and I totally believe that it's going to play out in this and every other upfront from here. Let me go to the second question on first-party data. Karthik?
Karthik Rao: Yes, Dan. Thanks for that. First, we have been providing advanced audiences first-party audiences for clients even today. What we're really talking about is the amazing feedback we got around how do we like that up within Alpha, which ultimately is Nielsen ONE Ads. And so we are prioritizing that so that agencies and other players with first-party data can view audience measurement not only against the total population, but also against the audiences that matter to a brand or a buy. So we are incorporating that into the road map for later this year, and we're very excited. It also signifies the kinds of conversations we're having and the feedback we've been getting on Alpha and all of the use cases that we want ultimately to power through Nielsen ONE. So it signifies a big opportunity for us. And we will obviously look at M&A as a continued way for us to increase our capability. And we'll comment more on that whenever we're ready. But we're super excited with the feedback on Nielsen ONE Alpha and how it's going to evolve even in 2022.
Dan Salmon: Okay, great. And so just to be clear, David, you would expect 100% of the upfront to include Nielsen data in some form or another?
David Kenny: I would. But that doesn't mean that there will be secondary guarantees. 100 -- will somebody try something? I'm not going to say that. There can't be some minor exception. I don't see anything widespread. I think it's going to be really hard to go back to your client with something that's not audited. And we are the most inspected, most audited service out there. And I think to value price, people are going to need the total to 100% of audience time, and nobody can do that but Nielsen.
Dan Salmon: Great. Thank you both. Very helpful.
Operator: Your next question comes from Doug Arthur from Huber Research. Please go ahead.
Doug Arthur: Yeah, thanks. I just wanted to shift the focus for a second to Impact, Content, I guess, this is now called. I mean, what -- Linda, you called out the timing on contract renewals in Content. You did have a fairly easy comp. I guess, the relevant question is, do you -- longer term, is a 6% to 10% organic growth range for both of those Impact and Content? Is that still in the ballpark?
Linda Zukauckas: Yeah. I can take that one, Doug. Thanks for the question. So you are right about the comp. And if we look at 2021, Impact grew 7.3%, Content grew 7.8%. But Q4, if you look at Q4, the Impact and Content organic revenue growth was down. It was 3.4%. But it's a little bit of a tale of two cities. The Impact revenue grew in the high single-digits and Content declined. And it's really what I talked about in my prepared remarks. For some of our Gracenote clients, the structure of the contract -- the size and structure can vary. And that just presents some unevenness, and we saw that in the fourth quarter. And we will see that also in the first quarter. At this point in time, we're not really calling it beyond that. So I think the overall characterization that you described is right. We do continue to expect mid to high single-digit organic revenue growth for Impact and Content on a go-forward basis.
Doug Arthur: Okay. Thank you very much.
Operator: Your next question comes from Ashish Sabadra from RBC Capital Market. Please go ahead.
Ashish Sabadra: Thanks for taking the question. Maybe just a quick question on the EBITDA and your confidence of getting 250 basis point of margin expansion by fiscal year 2023 despite some of the headwinds we are seeing in fiscal year 2022. Wondering if you could comment on that one? Thanks.
Linda Zukauckas: Yeah. So we do still feel confident about the overall medium-term target that you're referencing, which we put out there at Investor Day. And it really stems first from growth from an overall EBITDA perspective, and that's important. And you see it in the guidance that we gave today, that we're still feeling good about revenue growth. We are investing in the business, and nothing has really changed there. But those investments we do think are smart investments and they will drive revenue growth. We're also expanding the panel and those investments will start to moderate over time. And then we are driving other efficiencies. We're re-platforming our ERP within the company right now, which covers all the financials, all of our people globally. We're also taking a fresh look at real estate. The world has changed a lot. We have the pleasure of being in the office today. But it's the first time we have done earnings in the -- our headquarter offices since April of 2020. So it's -- the world has changed quite a lot and that has us looking at our overall real estate portfolio. But stepping back from it all, we do feel good about the 43.5% margins in 2023 and in line with what we put out here at Investor Day.
Ashish Sabadra: That's very helpful color, Linda. And maybe if I can just ask a question on the revenue growth trajectory. You talked about the Content headwind potentially in the first quarter. But I was just wondering, are there anything else that we need to be cognizant of which is weighing on the revenue growth in the first quarter but potentially driving an improvement through the rest of the year? Thanks.
Linda Zukauckas: Yes. So, I think it's probably just important to focus on the full year guide that we gave. And then I gave you a little bit of first half, second half color. But beyond that, there's really nothing other than the -- what I referenced in Q1. Aside from that, I think in line with the 4% to 5% guide that I gave.
Ashish Sabadra: Thanks Linda.
Operator: Your next question comes from Matthew Thornton from Truist Securities. Please go ahead.
Matthew Thornton: Hey good morning everyone. Maybe two questions if I could. The second one is more of a housekeeping question. First, I guess, can you remind us a little -- or maybe talk a little bit about, as we think about exiting 2021 and into 2022, how we should think about any type of impact you're seeing from supply chain disruption? Obviously, there's been some disruption, whether it's the auto vertical, CPG, consumer electronics, a few others. I'm curious if that's impacted short-cycle business. And similarly, as we get to the back half of the year, maybe you can remind us how political kind of plays into that short cycle business as well. So that's the first question. And then secondly, a housekeeping. Linda, should we think about any separation-related costs still kind of carrying over into 2022, or is that kind of all behind us now? Thanks so much.
Karthik Rao: Thanks Matthew. I'll just hit on the supply chain. I think there's two components to that. One is the internal, which is just us being able to manage the headwinds from supply chain, particularly in our meter space in 2021. So, we had an amazing team that we put together that managed through the entire year, ordering in advance so that we can meet all of our meter and panel plans and general hardware needs. So it's an area we're going to continue to keep a very close eye on. Obviously, ordering in advance is a huge component of the strategy. But there's other things like changing vendors, reengineering meters and stuff like that. From a topline perspective, there's been no particularly noteworthy impact in any of the short-cycle revenues. It's an area we continue to watch. play out in 2021, it was fairly consistent to how we expected it to. So, nothing material there. Second one, Linda, you want to?
Linda Zukauckas: Yes, I got the second one. You're right. That's most of what you'll end up seeing, Matthew, as far as separation-related costs, is $185 million that I broke out this year. You won't see us breaking out separation-related costs going forward because they're just -- they're going to be virtually non-existent.
Matthew Thornton : All right. That's helpful. And then, I guess, just coming back to the point on political. Can you remind us? Does that tend to have a little bit of lift on the short-cycle business as we get into the back half of this year, or is that, again, more of a non-event?
Karthik Rao: No. I mean this is baked into typically our revenue flow, Matthew. Every year, there's different kinds of events, whether it's sporting, political, they're basically nothing noteworthy there that's separate from what's been called out building the guidance.
Matthew Thornton : Great. Thanks everyone.
Karthik Rao: Thank you.
Operator: And your next question comes from George Tong from Goldman Sachs. Please go ahead.
George Tong: Hi. Thanks. Good morning. You mentioned you'll complete all MRC actions by the middle of this year. Can you elaborate on what outstanding items remain for local and national ratings, and also discuss how your accreditation process for digital ratings is progressing?
Karthik Rao: Yes. Thanks, George. I'll begin with digital. It is a complete audit of all components of the digital product. As you know, we rebuilt it from scratch. And so it's mobile. It's desktop. It's adding -- it's auditing all the components, viewability, the CTV enhancements, identity. So it's pretty comprehensive. We expect the first set of comprehensive audits for digital to be in March, which is obviously in this week and the rest of the month. So we feel really good about the progress on that front. As regards to television measurement, as we've laid out very transparently, we started publishing tracking against all of the accreditation items required And look, this isn't just about accreditation. It's about raising the bar on quality more broadly. So we've got a series of projects that are beyond what would be called accreditation criteria. So our expectation is we get all of these projects, not just the execution, but even the audits done by mid-year. And we're tracking really well to that and publishing to the industry where we stand on a fairly frequent basis. So we feel really good about how we have executed going into Q4 as well as beginning of 2022.
David Kenny: George, your question leads to a second point around upfront, which was asked earlier. I do want to clarify something because you're right to go to the digital ratings. I think the thing that we're going to see different in the upfront this year is the digital players showing up. Google is out there, which is the biggest streaming platform, but that's that sponsored, they're out there with a blog post, very clearly citing Nielsen ratings, intend to go forward with those. I mentioned on the call, Roku, of being always under the rating. I think it's really important when people are looking at the industry, they realize the industry as digital first, and so is Nielsen. And as we approach all of this, it is the belief that we'll accredit the pieces because I think we need to resource and trust and confidence and I really respect the MRC process. Then right behind that, will be cross-media. But this upfront is going to be for the first time, I think, and upfront with a lot of commitments to the streaming side also, and those are all going forward with Nielsen.
George Tong: Got it. That's helpful. You expect organic revenue growth to be back half weighted in 2022 despite easier comps in the first half of the year. Can you elaborate specifically on expectations for growth in the Audience Measurement business, including puts and takes that might impact growth in the first half?
Linda Zukauckas: Yes. So I can take that one, George. I think as we think about Audience Measurement, we are consistent with the way that we've signaled that in the past. And that for Audience Measurement, that we pretty much see it as mid single-digit is the way that we're thinking of it, low to mid, depending on any particular mix of renewals that play out. But you heard David talk about the strength of our renewals, and 100% have renewed. So we feel good about the overall low to mid, in line with what we put out there at Investor Day. As far as the timing is concerned, we are investing in the business, as I previously mentioned. And the initiatives, as is oftentimes the case, have us investing in the first half, and then we see the benefit play out in the latter half of the year. And that's fairly consistent with the way you've seen the business play out over the past few years. And that's what you see in the numbers for this year, so nothing really beyond that to call out.
George Tong: Got it. Very helpful. Thank you.
Operator: Your next question comes from Toni Kaplan from Morgan Stanley. Please go ahead.
Toni Kaplan: Thanks so much. Can you talk about what you're seeing with regard to labor inflation? And how much of an impact is included in the EBITDA guidance? And related, if you could talk about any changes or initiatives you've taken with regard to recruiting and retaining employees as hiring has been a little bit more challenging in the current environment? Thank you.
David Kenny: Certainly. Listen, we have an extraordinary team. As I said on the call, we've got more data scientists than the next five contenders combined. They're in hot demand. And we make sure that we reward them. We've got an incredibly strong tech team, really great product leaders, and of course, good commercial leaders. We have to work to stay competitive. We are watching people's competitive offers and what's going on in the market generally, and are investing in the value proposition for our people. And that is reflected in the targets we gave, which is may be some constraint on margin expansion. But I think we've got a great proposition. And people really do like working here and are coming in. I think, of course, it's not all tough. There's also real investments in training. There's real investments in collaboration. People come here because they want to learn the future. I think we are very excited about the convergence of digital and linear, which no one else is taken like we are, and excited to learn that because I think it's really going to help their careers, hopefully at Nielsen for a long time. And even when they go elsewhere, our alumni do quite well and are in hot demand. So those are all the things we're focused on. I would say it's job one. We do have a -- something we call smart work, which is the way we work. We've given people a lot of flexibility to balance work-from-home with the office as the offices reopen. That's also, I think, been very well received. The burden, of course, is our managers, to make sure that we're including everybody, whether we see them in the office or we work with them remotely during the week. And so there's a lot of work helping our managers manage and take advantage of the flexibility that tech has enabled our people.
Toni Kaplan: Great. I wanted to also ask about international. You talked about the 7% growth in 2021. Can you just talk about where you're seeing the most traction there, whether it be by country or which types of solutions are getting the most uptake in international? Thanks.
Linda Zukauckas: Yeah. I would say, Tony, for international, it's a really good story in that it's diversified and distributed. So, there's really nothing in particular that is driving that in a more pronounced way than others. There's -- in any given quarter, there could be some strings. But it's in all regions. It's in all market. And so nothing that really rises to the level to strike out from -- as being a real standout. But the better story is the diversification that we have across all of international.
David Kenny: What I also want to add, because this confirms the thesis we laid out at Investor Day in the fall of -- or I guess, it was December 2020, it's happening that around the world that, basically, the agencies and the advertisers are demanding cross-media. And I cited some examples. But in Mexico, where they out subsequent in the team measurement lab panel, which we've done, which is helping to build measurement. Australia has a big project called VAS. So, it has really stepped up to make sure they deliver cross-media, which they chose Nielsen is the only company that could do it. In a place like Thailand, again, working with Ad Teb across both the buyers and the sellers to get them to cross-media. So, there's a huge demand for this. And the digital capabilities of Nielsen really are unparalleled. It is the most valued digital currency out there. So, even in places where there are other traditional jigs and measurement companies, they all need us on the digital side. So, that's really helping embed the audience measurement part of Nielsen internationally. And it's a big part of why we're growing faster in international than we have in the year, and we expect that to continue.
Toni Kaplan: Perfect. Thanks.
Operator: Your next question comes from Jeff Mueler from Baird. Please go ahead.
Jeff Meuler: Yes, thank you. I was hoping you could comment on, I guess, buyback execution plans or consideration. It's such a big headline figure, and I understand the guidance assumption of not including it. But just given the percentage of marketing cap and year and a half of free cash flow, like what are you planning in terms of time line for executing it, or how aggressive you'd be, or is it dependent upon M&A pipeline, conversion? Anything like that? Thank you.
Linda Zukauckas: Yes. Hey Jeff, it's Linda. I'll take that one. So, there are a lot of variables and we haven't provided any specific time line. But stepping back, the great news is that we were able to make so much progress this past year with regard to our leverage, where we do now have the flexibility to evaluate trade-offs, investing in the business, considering tuck-in M&A or executing on share repurchases, all of those while continuing the dividend. And so we're not going to signal exactly when we're going to be in the market. And there are always some limitations on the amount of trading you can do in a buyback program anyway. But suffice it to say that we think the shares are at very attractive levels currently. And we are, as you point out, going to continue to generate significant capital flexibility over time. So, it just has us very well-positioned and we couldn't be more pleased that to know that the Board sees the long-term value in the company and did the authorization. So, we will circle back in due course, but at this point in time, no specific timeframe.
Jeff Meuler: Thanks. And then I guess this ties to your views on intrinsic versus market price and probably the way the market is assessing the terminal value. You gave us a lot of good points, David, on separating noise from reality, both operational and the financial markers. Just I guess a question on contract duration or length as you renew through the Nielsen ONE rollout. I know you've always had long-term contracts. But are they lengthening as clients embrace Nielsen ONE? Is there any sort of pause as they're going through the Nielsen ONE adoption process? Just any update on contract length?
David Kenny: Well, first of all, I'd remind you in the script, I said 100% of our top 10 clients renewed in the last three years. And they all renewed with similar escalators and time frames as we've had historically. So I would say very much on track in the same types of contracts and certainly what -- when people have an audience measurement contract with us, we would with items so that it can roll to the Nielsen ONE methods as those methods come out and it shouldn't be incremental for Nielsen ONE. It's just a better way to measure the audience to measure them all on one methodology. In terms of a length, what I also pointed out is that we’ve got a number of digital players who've signed up with us, those contracts tend to be a little longer, those companies are quite confident in their futures with digital-first player so I would say that marginally is exceeding the average length and I believe as all media companies settle into this new streaming first world, and they realize the value Nielsen provides and to really help those agencies meet their fiduciary responsibility, we'll be able to have longer discussion. So it hasn't gotten shorter. I would certainly like it to be longer going forward.
Jeff Meuler: Got it. Thank you.
Operator: And your next question comes from Jason Bazinet from Citi. Please go ahead.
Jason Bazinet: I had a quick question on free cash conversion. I think in your prepared remarks you said hitting that 50% of either converting to free cash in 2023 would be difficult because cash taxes are higher and CapEx would be higher, but the CapEx step up was sort of temporary. I guess it sort of implies that the cash taxes -- higher cash taxes will be permanent. Is there any way you could sort of frame what you think a reasonable free cash conversion will be longer-term for the firm?
Linda Zukauckas: You know what I would say Jason is we haven't even hit the one-year mark of having closed on the sale of the connect business. And the profits mix of the connect business versus the media portion of the business is very different. Connect having been a much more global business and media being largely domestic, but with really nice growth outside of the US. So in short, it's complicated. And certainly during the course of 2021 there are a lot of dynamics in play with selling Connect and the tax treatment associated with that, and how that impacted our ability to utilize tax credits during the course of the year. And so we are not giving a rate at this point in time. The good news is EBITDA is higher and that translates into higher cash taxes. But it really is based on where our profitability is in various jurisdictions and in the US and various states and all of that factors into what will impact our cash taxes. Our goal is still to get to the 50% cash conversion over time. And share repurchases may have some relevance to that because the interest expense would that -- to the extent it impacts the pacing of us continuing to delever would impact interest expense. Not huge amounts, but nevertheless, cash interest. And so there are a handful of dynamics that are in play. But at this point in time, I’m not in a position to really be able to give a cash range, which is a unique concept anyway. We're comfortable though with the way that we've guided the effective tax rate in the 23% to 25% range. And I'll remind you that if you remove the noise out of the current year, our effective tax rate would have been 23.5%. So just an important data point, and we'll continue to be transparent on cash taxes on a go-forward basis.
Jason Bazinet: Great. Thank you.
Operator: We are out of time for today. So, I will turn the call back over to David Kenny for closing remarks.
David Kenny: Listen, I want to thank you all for joining the call this morning. Every day, we all get up here to power a better media future for all people. We are not distracted from that mission. And we're very confident in the path ahead. We're very excited and proud of the progress we've made. And now, we've got a lot more to do. So we look forward to updating you again in April.
Operator: This concludes today's conference call. You may now disconnect.